Operator: Good morning and welcome to the New Jersey Resources First Quarter 2014 Results Teleconference. All participants will be in listen-only mode. (Operator instructions) After today's presentation there will an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Dennis Puma. Please go ahead, sir.
Dennis Puma: Thank you, Chad, and good morning everybody. Welcome to our quarterly conference call. I am joined today by Larry Downes, our Chairman and CEO; Glenn Lockwood, our Chief Financial Officer, as well as other members of our senior management team. As you know, certain statements in our news release and on today's call contain estimates and other forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We wish to caution readers of our news release and listeners to this call that the assumptions forming the basis for forward-looking statements include many factors that are beyond NJR’s ability to control or estimate precisely which could cause results to materially differ from the company's expectations. A list of these items can be found, but is not limited to the forward-looking statements section of today's news release filed on Form 8-K, and in our 10-Q filed on November 26, 2013. Both of these items can be found at sec.gov. NJR does not by including this statement assume any obligation to review or revise any particular forward-looking statement referenced herein in light of future events. I’d also like to point out that there are slides accompanying today’s discussion which are available on our website and were filed on the Form 8-K this morning. With that said, I’d like to turn the call over to our Chairman and CEO, Larry Downes. Larry?
Larry Downes: Thanks, Dennis. Good morning, everyone, and thank you for joining us. During my presentation I will be making forward-looking statements, and our actual results will be affected by many different factors including those that are listed on slide one. We have got the complete list on our 10-K, and I would encourage you to please review those carefully. Also as noted on slide two, I will be referring to certain non-GAAP measures such as net financial earnings, which we will refer to as NFE, as I discuss our results this morning. We believe that NFE provides a better measure of our performance, however these non-GAAP measures including NFE are not intended to be a substitute for GAAP, and are discussed more fully in Item 7 of our 10-[Indiscernible], and we are providing those pursuant to SEC Regulation, so I would ask you to please take the time to review that disclosure carefully as well. So let us move to Slide 3, which summarizes the results that we announced this morning. You can see that our earnings of $0.95 per share for the first quarter were $0.10 better than last year. And as you can see the growth in the quarter was driven by strong results at both NJR Energy Services and New Jersey Natural Gas. Slide 4 gives more detail on our performance. New Jersey Natural Gas had earnings of $27.6 million compared with $25.5 million in the first quarter last year. The results were driven by strong utility growth margin. You can see that [AIP] contributed about $2.1 million. The customers who returned this year, who were off last year because of Sandy were about $1.4 million. Customer growth was $723,000. Our success with SAVEGREEN project was $446,000 and our consistently performing BGSS centers were about $341,000. You can see in total that was just a little bit more than $5 million. We are also pleased that Moody’s upgraded New Jersey Natural Gas Company’s secured rating from Aa3 to Aa2, which again underscored the company’s strong financial profile. NJR Energy Services had a strong quarter with net financial earnings of $7.4 million versus $3 million in the first quarter last year. That resulted from higher financial margin due to the cold weather, pipeline and storage portfolio growth and increased sales to major customers. Moving to Slide 5, continuing to review the performance drivers, NJR Clean Energy Ventures had net financial earnings of $3.6 million, versus $5.3 million in the first quarter last year. And that decline was the result of the timing of SREC sales. Mid-stream had net financial earnings of $1.4 million compared with $1.8 million in the first quarter last year. That reflected lower transportation values at Iroquois, and maintenance expense at Steckman Ridge. And finally NJR Home Services had a loss of $574,000 compared with $247,000 in the first quarter last year. I would remind everyone that last year’s first quarter results were positively impacted by Sandy. This year we have seen lower installation sales, although our generator sales remained strong. Moving to Slide 6, on September 11, 2013, we introduced our fiscal 2014 guidance of a range of $2.75 to $2.95 per share, and today we are reaffirming that guidance. You can see on the slide the percentage of net financial earnings that we currently expect to come from each segment. And if we achieve this guidance it would represent the 23rd consecutive year of improved financial performance for the company. Moving on to the next slide, from a dividend perspective, we have shown our commitment to consistent increases. In September 2013, we increased the dividend by 5% to an annual rate of $1.68 per share. When you look at that compared with our peers, our annual dividend growth rate through 2013 exceeds those peers, and our payout ratio is about 60%. That is lower than our peers, supports the sustainability of the dividend and our goal remains a payout ratio of between 60% and 65%. One Slide 8, you can see that we had strong customer growth in the first quarter of fiscal 2014 as the housing market continues to recover in our service territory. We added a total of 2129 new customers in the first fiscal quarter of 2014. That represented an increase of almost 9% over last year. We are seeing an increase in the pace of new construction, which was up 16% over last year. Our conversion markets remain strong as we converted 1149 customers during the first quarter and converted another 137 existing customers to natural gas heat. As we look to the future, we expect to add between 14,000 and 16,000 new customers over the next two years, and if we achieve that, which we certainly expect to do, that would represent a new customer annual growth rate of about 1.5%. Turning to Slide 9, where we discuss the SAVEGREEN project. SAVEGREEN started in 2009, and through SAVEGREEN we promote energy efficiency to help our customers save money. During fiscal 2013, we worked with our regulators to put in place a two-year extension of SAVEGREEN, and during the next two fiscal years we expect to invest a total of $85 million in the SAVEGREEN project. And I think it really underscores not only the constructive regulatory environment in New Jersey, but it also supports public policy objectives, and it is creating growth opportunities for New Jersey Natural Gas. Looking at Slide 10, we project that over the next four years, New Jersey Natural Gas Company’s incremental gross margin will more than double. You can see that customer growth will remain the largest component. However, we will also receive important contributions from SAVEGREEN, the [NJB] Advantage, and our BGSS incentive programs. As you can see on Slide 11, capital invested by New Jersey Natural Gas since our last base rate case, which was in 2008, we are looking out to Fiscal 2017, it is expected to be over $1 billion. Our normal capital spending, which includes both customer growth and system maintenance will comprise about half of the total. We also have a number of new infrastructure programs such as the Southern Reliability Link, our Howell liquefaction project and NJ RISE, they will provide additional opportunities for rate base growth. And our current plan calls for base rate filing later in November 2015. Moving to Slide 12, I want to talk a little bit about our distributed power strategy, starting with solar. Solar from a strategy point of view is important as it supports New Jersey’s energy master plan. We’re starting to see improving SREC fundamentals, but as we have indicated over the past several months it is our plan to gradually eliminate our reliance on solar investment tax credit, which carry the tax credits, which are expected to expire by January of 2017. From the wind point of view, as you know, we have announced a number of investments in wind over the last several months including yesterday. Our strategy there is driven by the renewable portfolio standards, which is present in 29 states and the District of Colombia. The tax credits associated with wind are based upon production, but very importantly and as you can see from the projects we have announced we have been able to put in place long-term power purchase agreements, which combined with the production tax credits, we believe provide annuity like returns. And then finally, we continue to look at opportunities in combined heating power, but our view is that here in New Jersey that market is continuing to evolve. Moving to Slide 13, I wanted to talk a little bit more about the SREC market and if you look at capacity additions, you can see that they have declined from their peak in early 2012 and there has been a corresponding increase in SREC prices, but we continue to expect continued growth in our levels of SRECs that we’re producing as we continue to invest more money. One Slide 14, we show the details of our investment in the Two Dot Wind Farm. We announced that back in October 2013. You can see the details about the size, but I think it is important to note that Two Dot is supported by a 25-year PPA with NorthWestern Energy. I’m happy to report that the construction is on schedule and we expect Two Dot to contribute to our earnings during the fourth fiscal quarter of 2014. And moving to Slide 15, I think as everyone probably saw yesterday, we announced our second onshore wind project. It is located in Carroll County, Iowa. It is a 20 MW wind farm. It will involve the investment of about $42 million that will be PTC eligible. And the project is supported by a 25-year PPA with MidAmerican Energy, which is owned by Berkshire Hathaway. We currently estimate that commercial operation will occur in the spring of 2015. Moving to Slide 16, as I mentioned earlier, NJR Energy Services had a very strong first-quarter with net financial earnings of $70.4 million. Their focus on both fiscal natural gas services and producer services has provided us with growth opportunities. In a changing marketplace, the work that NJR Energy Services has done has positioned us very well in that market. Cold weather in December created attractive opportunities, and again I think you can see from the results that our team has done an excellent job in creating value in that market. So in Slide 17, we summarize our long-term growth strategy. We expect two primary sources of earnings growth from New Jersey Natural Gas, increased infrastructure investment to support safety and reliability, and growth in utility growth margin from not only new customers, but other regulatory initiatives. As I said earlier, we will file a base rate case no later than November 2015, but I would point out as you look at the capital chart that I reviewed previously, the majority of our existing infrastructure spending is already earning a return. From the non-regulated perspective, our strategy is to diversify our distributed power portfolio. You can see the efforts that we have already put in place now and the progress that we are making. We will be expanding our onshore wind investments. We expect that the contributions from NJR Energy Services will be steady, but that of course will depend upon market conditions and we will continue to expand our products in markets at NJR Home Services. This morning we are reaffirming our long-term net financial earnings growth goal of a range of 4% to 7%. Our objective is to provide annual dividend growth of at least 5%, and we believe that that will be supported by our fundamentals. And over the long term, we will target at least 65% to 80% of our earnings to be generated from our regulated businesses. So in closing as always, I want to say thank you to our employees. I think as everyone knows last year we were presented with a number of very significant challenges, primarily those related to Sandy, but I think it is fair to say as we speak to you today that we have emerged as a stronger organization and I would also gain underscore that the performance that I am sharing with you today is the result of the dedication of our employees, their commitment to excellence and I don’t think I have ever been more proud of all that they have done. So we thank you for joining us this morning, and we will be happy to answer any of your questions.
Operator: (Operator instructions) Our first question comes from Gabe Moreen with BofA Merrill Lynch. Please go ahead.
Gabe Moreen - BofA Merrill Lynch: Hi, good morning everyone.
Larry Downes: Hi Gabe.
Gabe Moreen - BofA Merrill Lynch: Question is on the Carroll project, and I guess, you know, you laid out accretion on the Two Dot acquisition when you made it. I was wondering if you can provide some color on some of the accretion you are expecting from the Carroll project, whether it is I guess ratable relative to Two Dot, even some of the investment?
Larry Downes: Overall Gabe, yes, the answer is yes, overall. Depending on the terms under PPA, not all PPAs are identical whether they are flat prices or escalating prices, there might be some variation year-by-year, but overall from a return perspective, yes, it is comparable to Two Dot and since it is about twice the size, it will be about twice the accretion.
Gabe Moreen - BofA Merrill Lynch: Great, and then just generally speaking in terms of what is sort of in the pipeline so to speak at home energy, maybe you can speak to will you see any more near-term opportunities to acquire projects?
Glenn Lockwood: I can add to that Gabe. We have got several projects under development. Obviously with the PTC environment there is some uncertainty out there. Their focus is on the states with the biggest RPS requirements. We have, I think as you know, the opportunity but not the obligation to buy projects from them when they have reached certain milestones, such as long-term PPAs. So we are still optimistic that we will be able to exercise our options as we had negotiated. But obviously we will be watching the PTC situation in Washington, and obviously the timing of the RPS standards in the different states.
Larry Downes: And just underscore, Gabe, this is Larry. I think one of the real advantages of the relationship with [Indiscernible] from us from any of the development risk, and we are seeing that now in the two projects that we have announced, Two Dot and Carroll.
Gabe Moreen - BofA Merrill Lynch: Got it, great. And then last question from me if I could on energy services, is there any reason to think you guys don’t have a pretty -- a similarly strong quarter in 2Q from Energy Services given, you know, what basis it is done in 2Q, just kind of like it did in 1Q as well. So, any factors and considerations I guess we should think about for 2Q Energy Services performance?
Glenn Lockwood: I think you pretty much nailed it Gabe. The first quarter if you think about it, the cold weather really out in the West Coast is what dominated the markets back then. And that helped our Q1 and clearly in January that cold weather has obviously been present in the Midwest in the North East. So we haven’t changed our guidance as we typically do so after most of the winter is over. But it is fair to say that the conditions have been positive for Energy Services.
Gabe Moreen - BofA Merrill Lynch: Got it. Great. Thanks everyone.
Larry Downes: Thanks Gabe.
Operator: Our next question comes from Mark Barnett with Morningstar.
Mark Barnett - Morningstar: Hi, good morning everyone.
Larry Downes: Good morning.
Glenn Lockwood: Good morning Mark.
Mark Barnett – Morningstar: Just a question on the customer additions, it is a pretty strong number for the quarter, and I guess, you know, with a little bit of variation you will be pretty much on your numbers for the next two years at this pace, but is there anything out there in terms of maybe from an environmental regulation standpoint or some -- those kinds of interstate or Federal level that might push the oil conversion figure a little bit higher.
Larry Downes: Well, I am going to ask Tom Massaro, who heads our marketing area to give you a little bit of -- little more color on the market and focus on your specific question.
Thomas J. Massaro: Hi, Mark. You know, it has been mentioned in both the energy master plan at the state level, and then through EPA through some of the [Indiscernible] regulations on the industrial side that are favoring the conversion from oil over to natural gas. And in the conversion that we reported today about 80% of our conversions are coming from the oil market. And there are some pretty strong indications that that will continue going forward.
Mark Barnett - Morningstar: Okay. I appreciate that. And either at the Energy Services or at the Utility I mean have you at this point it has been a pretty cold winter, had any issues with supply or is that kind of not really going to be a problem where you stand?
Larry Downes: Mark, I’m going to ask Craig Lynch to talk about the utility and Steve Westhoven to talk about Energy Services, Craig?
Craig Lynch: On the utility side, the utility is performing, you know, as designed. We have not had any issues in deliverability on the utility.
Larry Downes: Steve.
Stephen D. Westhoven: Yes, to speak of the whole US, it seems like the US natural gas has held up pretty well given the extreme temperatures over really what is the majority of the US. There has been a few hiccups here and there, but for the most part, you know, nothing major has occurred. It has done very well.
Larry Downes: We had a record sent down on January 7, and I think one of the things that when you pose that question Mark, what you got to think about is really the value of all the infrastructure that we have put in and will continue to put in the future.
Mark Barnett - Morningstar: Thanks to all from me.
Larry Downes: Thanks Mark.
Operator: Our next question is from Spencer Joyce of Hilliard Lyons.
Spencer Joyce - Hilliard Lyons: Good morning guys.
Larry Downes: Hi, Spencer, how are you?
Spencer Joyce - Hilliard Lyons: Doing well, thanks. First, just a quick question, do you all have the Capex number for Q1?
Glenn Lockwood: I can get that for you in a second, Spencer, if you have a second question, you can ask that -- okay, I got it. Utility Capex for the quarter is about $30 million, plus about $5 million for [renewables]. So, about $35 million in total. And solar and wind combined about 25 million.
Spencer Joyce - Hilliard Lyons: Okay, thanks.
Glenn Lockwood: That will be released in the 10-Q later today.
Spencer Joyce - Hilliard Lyons: Okay, great. Staying on the Capex, we have a pretty good break down for the utility, but can you refresh us sort of in round numbers where solar and wind may come, maybe stretching out to 2015, just so we can kind of back into a combined spend for those two, for those three?
Glenn Lockwood: Well, on the solar side we talked about a range of 70 to 90 for the next year or two, and then after that we see the expected decline, getting ready for the exploration in ’17. Wind is a little bit more opportunistic. I think it is safe to say we don’t expect any other actual cash out of door this year beyond the two projects we already announced, and those of the size of the projects that we are looking for. But on an annual basis it is a little bit more unpredictable on the wind side.
Spencer Joyce - Hilliard Lyons: Okay. So it sounds like for the most part no real change there.
Glenn Lockwood: No.
Spencer Joyce - Hilliard Lyons: Okay.
Larry Downes: Also you can see what we plan on the utility side on Slide 11.
Spencer Joyce - Hilliard Lyons: Yeah. Also switching gears here, and I don’t feel you need to get into too much detail, because I’m sure it could be a complicated answer, but I noticed you all started discussing NFE on the Clean Energy Ventures side, I guess for the first time this quarter. Can you discuss what has changed there such that you are altering the disclosure a little bit, I mean is there kind of a simple answer there?
Glenn Lockwood : Well, I don’t know if it is simple, but it is not too long of an answer. There is nothing from the operational side of CEV that is different. What we have done is we have refined the tax calculations, and we have always in the past have done a quarterly tax adjustment for GAAP purposes, a GAAP forecast. And we just decided this quarter to refine our NFE number to do a similar adjustment for NFE. So the exact same assumptions just starting with a different GAAP versus NFE pre-tax forecast. So there from an NFE purpose, we have a much more consistent tax rate each quarter based on our forecast. That adjustment is related mostly to our forecasted tax credits, and that is why that adjustment for NFE purposes is part of the CEV segment results.
Spencer Joyce - Hilliard Lyons: Okay. I think that makes sense there. So I guess you also mentioned there is really nothing operationally that is different, and no change in either the regulatory or the tax kind of framework?
Glenn Lockwood: Correct. This has nothing to do with derivatives or anything else. It is strictly the required quarterly tax adjustment. We just decided to be more refined starting this quarter.
Spencer Joyce - Hilliard Lyons: Okay. It sounds good. That is all I had. Nice quarter.
Glenn Lockwood: Thanks Spencer.
Larry Downes: Thank you.
Operator: (Operator instructions) Our next question comes from Daniel Fidell with US Capital Advisors.
Daniel Fidell - US Capital Advisors: Good morning.
Larry Downes: Hi, Dan.
Glenn Lockwood: Hi, Dan.
Daniel Fidell - US Capital Advisors: Nice job on the quarter. I just had a few follow-up questions, a lot of mine have been asked and answered. I guess first just maybe you can give us a little bit of color in terms of where the RISE program stands right now, kind of what your outlook is for that and timing around it?
Larry Downes: I am going to ask Mark Sperduto to answer that question.
Mark R. Sperduto: Yeah, we recently received an order from the BPU that sets out the procedural schedule. [Indiscernible] in that order. Decision is probably keyed up for April time frame, and so we are in the discovery phase right now, just answering questions regarding the [island].
Daniel Fidell - US Capital Advisors: So, in terms of the procedural schedule thinking kind of is sometime over the summer likely to have that buttoned up?
Mark R. Sperduto: Probably a little bit earlier, April-May timeframe I would predict.
Daniel Fidell - US Capital Advisors: Okay, great. Thanks. And then just switching topics quickly, on share repurchases just wondering if you could give us maybe quick comments in terms of how you are viewing those, is it still just kind of opportunistic or is it -- viewed as kind of a bigger part of the plan for ’14?
Glenn Lockwood: No, we view it as opportunistic and we think as we have said for years, it is a good tool to have in the overall financial arsenal, but it is opportunistic.
Daniel Fidell - US Capital Advisors: Great, and then just the last question from me in terms of the utility margins in Q1, you mentioned that you had a nice bounce back after say from the year ago about 75% of those customers back online, can you talk about what you see the outlook for that remaining sort of 25%, how you see those layering on if you do see them sort of coming back and kind of under what timeframe?
Glenn Lockwood: Internally Dan, we are seeing slow but steady recovery, but that maybe much slower, and internally we are talking the majority of the rest over the next two years. But clearly that is going to depend on a lot of factors.
Larry Downes: But internally the majority we see over the next two years is -- this is Kathy Ellis Dan.
Kathleen T. Ellis: Dan just to add that there we may see the second round of any recovery, so you would expect our residents to be accessing some of that probably in the near future.
Daniel Fidell - US Capital Advisors: Great, very helpful. Thanks for the color guys. That is all I had.
Larry Downes: Thanks Dan.
Glenn Lockwood: Thanks Dan.
Operator: (Operator instructions) There appears to be no further questions at this time, so I like to turn the conference back over to management for any closing remarks.
Larry Downes: All right. Thanks Chad. Thanks everybody for joining us this morning. As a reminder, a recording of this call is available for replay on our website. Again, we appreciate your interest and investment in New Jersey Resources, and we will see you next quarter. Thanks, goodbye.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.